Benoît Coquart: Hello, everybody, Benoît speaking. Thank you for connecting. I am with Franck Lemery, our CFO and Ronan Marc, and we are happy to welcome you to the Legrand 2024 Full Year Results Presentation. Please note that this call is recorded. As you know, we have published today our press release, financial statements and a slide show to which we will refer. After a few opening remarks, we will comment the results into more details. I begin on Page 4 with the three key takeaways of this release. First, we fully achieved our 2024 targets with both a nice growth coming from data centers and M&A and high levels of profitability and cash generation. Second, the main initiatives we pursued in 2024 are clearly putting us on track to meet our 2030 ambitions. Third, we are setting 2025 targets aimed at accelerating growth with sales up between plus 6% and plus 10% for the full year. Starting on Page 6, we fully achieved our targets for 2024 with organic plus M&A sales up plus 3.9%, 20.5% adjusted EBIT margin after acquisitions and 113% of CSR achievement rate. Moving to Page 7, I will comment the sales trend. In 2024, excluding FX and Russia, our sales increased by almost plus 4%, including an organic trend of plus 1% and a positive scope from acquisitions of plus 2.8%. In the fourth quarter alone, sales grew organically by plus 6.2%. Over the year, this is a remarkably good performance when considering the market environment. Regarding the two other elements on sales, the negative scope effect from Russia was of minus 0.6% in 2024, and the exchange rate effect was a negative minus 0.5% in 2024. Looking forward, the carryover of the acquisitions already announced should be close to plus 4% in 2025 based on their likely dates of consolidation. And based on average rates of Jan, the FX effect will be around plus 1.5% for the full year 2025. You will read on Page 8, the key takeaways per geographies on a like-for-like basis. In Europe, sales fell organically minus 2.3% full year. In the building market in retreat in most geographies, Q4 alone was flattish at plus 0.6%. In North and Central America, sales were up plus 4.5% in 2024 with an impressive plus 11.6% in Q4 alone. Over 12 months, this performance is due to the marked success of our data center offerings. Lastly, in the Rest of the World sales were up plus 1.3% in 2024 with a plus 7.2% increase in the fourth quarter alone. Sales grew well in India and other geographies, but we experienced a sharp fall in China, where construction market remained in steep decline. These were the main comments I wanted to make on sales. I will now hand over to Franck to give you more color on our financial performance.
Franck Lemery: Thank you, Benoît, and good morning to all of you. I will start on Page 9, commenting the adjusted operating margin. Before acquisitions, we recorded a very solid adjusted operating margin of 20.6% at year-end. This high level of profitability demonstrates once again the quality of Legrand commercial position and its strong ability to create value in a market environment that remained complex. The impact of acquisition was of minus 0.1 points, meaning the adjusted operating margin all in stood at a high 20.5% at the end of the year. Going now to Page 10. First, the net profit stood at €1.2 billion, representing 13.5% of our sales. And second, the free cash flow came to €1.3 billion at 14.9% of sales for the year and a conversion rate of 111%. On Page 11, we can see the robustness of our balance sheet with a net debt-to-EBITDA ratio of 1.5 at the end of the year-end. This level reflects the pace of acquisitions since the beginning of the year as well as the group very solid generation of free cash flow. That concludes the key financial topics I wanted to share with you now, and I’m handing over back to Benoît.
Benoît Coquart: Thank you, Franck. I will continue the presentation on Page 13 regarding our 2024 proposed dividend of €2.2 per share, up plus 5.3% compared to last year. This proposal is fully in line with a consistent payout policy of close to 50%. Let me now move to our 2024 CSR achievements on Page 15 and 16. On Page 15, in 2024, Legrand reached an achievement rate of 113% on the targets set for the third and last year of its 2022-2024 CSR roadmap. We overall had strong showing, especially in our carbon footprint reduction achievements and as expected, some challenges regarding circular economy. As you can see on Page 16, we are particularly proud to have clearly outperformed our targets in terms of Scope 1 and 2 CO2 emission reduction, down 53% at current perimeter over 3 years. We also enabled our clients to avoid the emission of 15 million tons of CO2, thanks to our energy efficiency offerings. Results on gender diversity are also very good with now more than 30% management positions filled by women. Let’s now move to Page 18, where you will find a reminder of our 2025, 2030 ambitions. In a nutshell, we target to combine organic and M&A yearly sales growth of plus 6% to plus 10% with sustained and consistent value creation and capital allocation. The main initiatives we pursued in 2024 are clearly putting us on track to meet those ambitions. From Page 19 to 23, we are detailing our leading position in data centers, which will continue to significantly boost our growth in the years ahead. So Page 19 and 20, data centers now represent 20% of our sales on a pro forma basis with average annual sales growth over the last 5 years of plus 19%, of which plus 13% was organic. Page 21 and 22, Legrand focuses on delivering high-value, modular, customizable and highly configurable products that are critical for data center to ensure business continuity and optimal performance. The best illustration of the unique position we have in the market is to give some examples of the highly technical projects we had in 2024, which we illustrate on Page 23. As you can see, the size of such projects can be quite material. They involve many stakeholders, a very agile supply chain and require highly customized offering and services to meet demanding decision-makers’ expectations. This is for data centers. We will, of course, be happy to provide you more granularity during the Q&A session. Let’s move now to M&A. From Pages 24 to 26, our pace of acquisition was particularly dynamic this year with 9 acquisitions announced these last 12 months, adding around €430 million of acquired sales on an annual basis. These new companies allowed us, first, to complement our expertise in data centers with 5 additional companies for €240 million acquired sales. Second, to enter the promising connected health market with innovation and performation announced today. Lastly, to almost double our sales in Oceania with MSS and APP, since 2020, we invested around €3 billion to acquire 25 companies for around €1.2 billion annual sales. 60 of them were in the buoyant energy and digital transition field. We intend to pursue this momentum in the coming quarters, keeping our financial discipline intact, of course, in terms of value creation. This is for M&A. Another pillar of our development model is innovation on Page 27 and 28, driven by a strong R&D representing 4.5% of sales in 2024, Legrand was very active in terms of new product launches in both energy and digital transition and essential infrastructure products. Lastly, we show on Page 29 that the level of customer satisfaction, a key element of our strategy is high and keeps improving, thanks to the numerous initiatives we launched in this domain. We can now move to Page 31 regarding 2025 full year targets, taking into account the world current macroeconomic outlook and the customs policies effectively applied as of the date of this publication, Legrand has set the following full year targets for 2025: sales growth of between plus 6% and plus 10%, combining organic and acquisitions and excluding currency effects, adjusted operating margin after acquisitions holding stable overall compared with 2024 and at least 100% CSR achievement rate for the first year of the 2025-2027 roadmap. This is it for the key topics of this release. Just before we move to the Q&A session, let me remind you that you will find in Pages 34 to 36, our corporate access agenda for 2025 should we wish to meet with Legrand management. Let’s now switch to Q&A. Thank you.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Alasdair Leslie from Bernstein. Please go ahead.
Alasdair Leslie: Yes, thank you. Good morning everyone. So maybe just starting on the organic sales guide for ‘25, it was kind of much better than I expected from you at this stage of the year. So maybe perhaps you can just give us a sense of how you’ve constructed that? How much is data center growth? What are the assumptions around pricing? I guess that probably still excludes tariff-related impacts. And maybe any firm views that you have on regions? Any additional color, I suppose, would be great? Maybe start there. Thank you.
Benoît Coquart: So let me indeed give you a bit more granularity on the 2025 guidance. So we are guiding for sales growth, as you know, between plus 6% to plus 10%. As far as M&A is concerned, we have 4% already in the pocket, pure carryover impact of the acquisitions which have already been completed. We could think of adding potentially a bit of M&A depending on the opportunities we will have as well as on the schedule of consolidation. So, additional acquisitions could potentially bring us 0.5%, 1%, 1.5%, 2% of additional scope. And the remaining would be organic. So organic could be 2%, 3%, 4% typically, depending on how the market moves. On the organic side, we don’t expect to have a lot of pricing. We think that pricing should be a maximum of plus 1% as today. Why? Because the overall environment when it comes to raw mats and components is not highly inflationary. And on top of that, we have done a lot of pricing in the past 4 or 5 years. If you look at the past 5-year pricing, we have increased price by accumulated almost 21%, which is about 4% per year. So we believe that we have to be a bit cautious when it comes to implementing pricing. So we don’t expect price to be up by more than 1%. It could be 1% maximum. Then of course, in terms of business segments, if I may say, as you know, data center grew organically 15% last year in 2024. And we clearly expect to have, again, sustained growth in data center, double digit. We don’t precisely know how much, but double digit. When we look at other KPIs, and this is one of the very few businesses where we have KPIs to forecast a little bit more precisely what we will do, bookings, book-to-bill, all those KPIs are well oriented. So we are pretty confident that the data center piece will grow significantly double digit in 2025. The uncertainty, of course, comes from the building side of the market. We expect that there will be, at some point, some sort of recovery, both in the residential in Europe and the office market in the U.S. But of course, this recovery will be very progressive and should hit our market rather at the end of 2025 than at the beginning of 2025. Does it give the granularity you needed, Alasdair?
Alasdair Leslie: For the color, that’s very helpful. Maybe if I could just sort of follow-up, maybe just on data centers, I think it’s Slide 23, you give these kind of project examples. There is quite a range there, I suppose, in terms of size. I was just wondering, do you sort of see a trend towards kind of larger projects now at Legrand, just given the kind of portfolio that you’ve built, the breadth of the offerings there, you’re moving into the gray space, perhaps kind of more cross-selling potential, I don’t know, maybe more systems-based approach. Do you see a sort of trend towards larger projects at Legrand? And maybe you can talk about the pipeline there as well as you head into 2025?
Benoît Coquart: Well, we’ve been in the big projects for quite a while. So there’s not a move toward a bigger project. The fact is the market as a whole, if I may say, is made of a large number of big projects. So since we have a leadership position in the product families in which we are, we’re also dealing with big, big projects. But again, we have big hyperscale projects. We have high-density data centers. We have colocation, but we also have a smaller edge type of data centers. So our product offering is such that we can address all type of projects. To give you an order of magnitude, it’s always difficult to compute, but for 1 megawatt of data center, we could potentially sell €2 million or €3 million theoretically of goods with gray space and white space offering. So indeed, when you see a big data center, 50, 100, 150 megawatts, we theoretically have the potential to do significant sales. Now of course, we are not alone in this market. There’s a lot of competition. So we have to fight hard to get some of those projects. But – so to make a long story short, it is not that we can address today projects that we couldn’t address 3 or 4 years back. It is just that there are many huge projects all across the world, but we are also very happy when we get the smaller edge type of projects.
Alasdair Leslie: I know you have a slightly different approach to M&A accounting to peers. So just was there any kind of noticeable catch-up impact actually on organic growth in Q4 from consolidating many of these acquisitions in the final quarter of ‘24?
Franck Lemery: Alasdair, Franck speaking. I think your question was about like-for-like and M&A growth quarter-over-quarter. Does the M&A or the acquisition has an impact on the like-for-like view of the group, quite? And if it is the question because we haven’t heard it very well, the answer is no, no. There is no material changes in the like-for-like growth of the group with or without acquisition quarter-over-quarter.
Benoît Coquart: If I may add maybe one number, which is interesting to have in mind at group level, I told you that the data center grew 15% like-for-like last year. If we look at the quarterly growth, it was slightly negative in Q1. And we told the market at that time that it wasn’t a concern for us. It was linked to the fact that some customers have put on hold some investments because they were redesigning some of the – I mean, the data center in order to make them AI compliant. So a slight decrease in Q1, plus 10% in Q2, plus 20% in Q3, plus 30% in Q4. So clearly, we have had an acceleration in our data center sales along the year.
Operator: Thank you. We will now go to the next question. One moment please. And your next question comes from the line of Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi, good morning. Thanks for taking my question. I have two actually, but I’ll ask them one at a time. The first one is kind of like following up on the point of data centers that you were just talking about. Can you talk a little bit about like the visibility you have at the moment in terms of like backlogs or weeks of visibility and how that kind of impacts, I guess, the first part of the year given the easy comps?
Benoît Coquart: You’re right, Daniela, to mention that, again, data center is one of the very few areas where we have some sort of visibility because of the orders we get and those orders are to be delivered in 3 months, in 6 months so give us some sense of visibility. We have a very good backlog. This backlog increased sequentially from Q3 to Q4. And we have always had every single quarter, a book-to-bill above 1. And in Q4 and in end of 2024, the book-to-bill remained above 1. So clearly, it gives us for the next couple of quarters, quite a lot of visibility, and that’s why we can be confident on the fact that the data center business will keep growing. Now we are always a bit cautious in giving you a precise number because, of course, orders can be canceled, that can be delayed. But no, I can confirm that there’s been a very large number of incoming orders. The demand is still very high. And all the investments, which have been announced lately are indeed good news. So the data center market business should keep growing nicely and – in 2026 and beyond.
Daniela Costa: What you had was on the – in the new economies in Europe. Is that your – can you talk about like where – if you are seeing any green shoots towards Europe or was that just like easy comps, what caused that?
Benoît Coquart: You mean the Q4 in Europe?
Daniela Costa: 18%. What drove that? Is it just easy comps? Is underlying – how are the various countries doing to contribute to that?
Benoît Coquart: Sales in Europe, new economies, the fact that they were up 3% over the year and 18% in Q4, no, I mean it’s – I wouldn’t say that there is a strong rebound in Europe. It is just that we have a few countries which did well. Turkey did quite nicely and a number of countries in Eastern Europe did well. There could also be some one-off projects in data center in some Eastern European countries. So, it’s not, let’s say, a sign of a strong rebound. It is just a good quarter. I am not sure that you can draw a lot of conclusions on 2025.
Operator: Thank you. [Operator Instructions] We will now go to next question. And the next question comes from Max Yates from Morgan Stanley. Please go ahead. Max, your line is unmuted. Due to no response, we will go to the next question. One moment, please. Your next question comes from the line of George Featherstone from Barclays. Please go ahead.
George Featherstone: Good morning, everyone. Thanks for taking the questions. First one, just a real quick follow-up on the guide, 6% to 10% on the sales growth, you’ve mentioned 4% on the M&A side. Your 6% to 10%, that doesn’t include any unannounced maybe pending M&A that’s on top of that. Just as a clarification point, that would be really helpful?
Benoît Coquart: Again 4% carryover could be 0.5%, 1% or 2% additional scope. Again, I cannot be more precise than that because it depends on not only on the deals which will be achieved in 2025, but also the schedule of consolidation. Even if we acquire a deal, let’s say, in the coming months, it might not be consolidated as early as March or April and the rest, so 2%, 3%, 4% being organic. What it doesn’t include is FX. The 6% to 10% doesn’t include FX. And again, FX as per the rates of Jan could be, if the rates remain the same, a positive plus 1.5% impact. So it doesn’t include FX, but it includes carryover of acquisitions, probably a few more acquisitions and then organic. You will notice – by the way, that this plus 6% to plus 10% is fully in line with our midterm target of plus 6% to plus 10%, with probably a little bit more scope, a little bit less organic. Now to make things extremely clear, we would be disappointed if we were to make only plus 6%. So we are clearly targeting the upper end of the guidance and not the pluses. But again, our guidance is plus 6% to plus 10%.
George Featherstone: That’s helpful. But just for complete clarity, you said 4% M&A, that would imply based on the 6% to 10% that the organic is not 2%, 3% or 4%, as you just said it, then it’s more like 2% to 6%. So can I just get a clarification on that just for total transparency?
Benoît Coquart: What I said so I will say it again for the third time, 4% scope carryover acquisitions already made. 0.5%, 1% or 2% additional scope, acquisitions to be made in 2025, the rest, 2%, 3%, 4% being organic. I’m sorry, I cannot be clear on that.
George Featherstone: Okay, thank you. Maybe then just turning to the cash margin, which is very good, obviously, with what you did in 4Q free cash flow. Can we think about how the – I’ll get some color on the level for 2025 that would be super helpful? Thanks.
Benoît Coquart: Yes, George. Well, free cash flow, we do not guide on a yearly basis on free cash flow. But what we said during our Capital Market Day in September is that our target would be to deliver regular nice free cash flow comprised between 13% to 15% to sell. This is very consistent with what we achieved in 2024 and the previous years. So, it remains our target.
Operator: Thank you. We will now go to the next question. One moment please. And your next question comes from the line of Phil Buller from Berenberg. Please go ahead.
Phil Buller: Hi, good morning. Thank you for the questions and thank you also for the data center disclosures. That’s very helpful. I have two questions, please. One, in terms of the phasing of the year, I’m assuming that given the comp effects and the carryover, we should be assuming a relatively strong start in 2025 or is that the wrong way to interpret it, please? That’s the first question.
Benoît Coquart: Well, indeed, in terms of basis for comparison, if we look at the profile of 2025, we have an easier Q1 because Q1 of last year was pretty soft, and we have a more demanding Q4 because as you’ve just seen, Q4 of 2024 was quite strong, so easy comp for Q1, more demanding comp for Q4.
Phil Buller: Just to focus on two key markets, European resi, U.S. office, are you more confident on office today than previously and if so, why? How does that compare to confidence levels in European resi? I guess I’m wondering if you’re seeing anything tangible from the ground in either of those markets that gives you confidence in a recovery. I know you said wouldn’t assume a recovery in the first half of 2025. But are you implicitly assuming a recovery in either or both markets in the second half of 2025 or is that, I guess, more upside scenario as opposed to something that you’ve baked into guidance? Thanks.
Benoît Coquart: Well, it’s of course, a bit more difficult for us to give you visibility on the building market where we don’t have the same leading indicators as the one we have on data centers. So we have to rely a bit on what experts tell us. So if you look at the resi in Europe, the market was quite negative again in 2024. I can give you one number, permits which were down 21% in ‘23 and down 5% in ‘24. So the market remains quite difficult. The markets are expected to bottom out in 2025, but it’s based on what the experts are telling us. And for example, the building permits are expected to be close to flat on the year. But again, it should be more a late H2 or H2, let’s say, or even late H2 story rather than the beginning of the year. And the reason for this bottoming out is obviously coming from the interest rate evolution. You know that there is a lack of household almost in every single European country, at least in the UK, in France, in Germany. So that’s why, at some point, the market will recover. But again, it’s more bottoming out in H1 rather than – in H2, sorry, rather than in H1. And it’s as per experts we have no leading indicators to indicate that. As far as the office market in the U.S. is concerned, experts are becoming a bit more optimistic, we have to say, on a potential recovery sometimes in 2025. Why is that? Because when looking at a couple of indicators, take, for example, vacancy rates in the office in the U.S. Vacancy rate, it was 12%, 13% a couple of years back. It was end of last year at 21% and a lot of experts seeing that it’s a sort of maximum or it can hardly go to ‘23, ‘24, ‘25. When you look at the square feet which are being built in the U.S., it is a record low for almost decades. So a lot of experts seeing that there are a number of reasons why the office market should get better somewhere in 2025. Now again, it will not be – it will be more late 2025 story. And if it is the case, it will not be a strong growth. It could be a slight recovery. It could be helped, for example, by the return to the office of governmental officials of the tech companies. So to make a long story short, we are a bit more – I mean, cautiously optimistic for both the office market and the resi market in Europe. But it’s going to be more late 2025 story, and we have to rely on what experts are telling us. Now if this recovery was stronger than expected or if the recovery were to happen earlier than expected, then of course, it would have a nice positive impact on organic growth. And that’s not what we are factoring. Today, we are factoring markets which would potentially show some sort of recovery, but by the very end of 2025.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of Gael de-Bray from Deutsche Bank. Please go ahead.
Gael de-Bray: Thanks very much. Good morning, everybody. So I have two questions. So, the first one and then the follow-up. So I guess I wanted to labor a bit more the point around data centers. Given there was such an acceleration for data center growth throughout last year, presumably, this is creating a very positive momentum for 2025. So would you say now that it is more likely than not that data center growth will exceed the 15% growth rate you had in 2024?
Benoît Coquart: Well, no, Gael, I don’t have visibility, which is as precise as this one. I think it will be double-digit, could be 12%, could be 15%, could be 20%. It will depend on many factors. And so it’s a possibility. I wouldn’t call that likely. It’s a possibility amongst others. Now if it was to grow, let’s say, only 15% out of a business which now represents 20% of our sales, it would be rather good news. It would mean that whatever happens in the building market, we already have 3 points of growth, which would be, let’s say, granted. So no, it’s a possibility. I wouldn’t call that more likely.
Gael de-Bray: Question is on the restructuring spend you had in 2024, so apparently pretty high, close to €75 million. So could you talk a bit more about the different actions there and maybe provide some color on the expected savings for 2025? And also, shall we expect this level of restructuring spending to decrease now to a more normalized level of maybe €30 million, €35 million, because if that’s indeed the case, it would mechanically improve the group margin by 40 bps, right? So why is the margin outlook seen only flat?
Benoît Coquart: So, indeed, the level of restructuring in ‘24 was quite sustained, €75 million. In terms of actions, it’s a traditional, let’s say, footprint, organization optimization, productivity actions. For example, 5 plants were closed in 2024. So it’s part of the normal discipline of Legrand. As far as 2025 is concerned, we don’t believe that it would be reasonable for you to assume that we’ll go back to the €20 million to €30 million of restructuring. I mean the group has grown. We will be bigger than €9 billion next year – I mean, this year in 2025. So it is more likely that we have level of restructuring, which might not be as high as €75 million, but which will be quite sustained. For your model, you should consider the last few year average as a percentage of sales, which is from 0.6% to 0.8%. So we’ll have a sustained level of restructuring again because we still have a lot of ideas. And because every time we make an acquisition, it gives us further playground, if I may say, for additional productivity actions and footprint actions.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of Max Yates from Morgan Stanley. Please go ahead.
Max Yates: Thank you. Just my first question was around the fourth quarter and do you get any sense that your organic growth benefited from any restock across your distributors? I don’t know how good visibility you have on their inventory levels. But do you think ahead of potential tariffs, there was any restock across your distributors and that boosted your North America growth?
Benoît Coquart: The clear answer is no. No restocking, neither in the U.S. on the back of potential tariff nor in Europe. No. If we look at the full year 2024, there was probably the contrary, a bit of destocking in a few geographies, including France, for example. But we haven’t seen any restocking in Q4. And the reason being that this tariff story is moving quite a lot. And it’s not always easy for distributors and for contractors to take actions based on what is announced given the fact that it’s moving from almost from one day to another. So, no restocking at all in Q4.
Max Yates: At your – just a follow-up, at your Capital Markets Day, you gave quite a helpful split between your energy transition business and your sort of core electrical infrastructure business. And I was just wondering, could you update us sort of how both of those performed in 2024? Did you still see that kind of high single-digit growth in the sort of power protection energy transition stuff and the core infrastructure stuff was much more flat? So how did those two segments that you gave an update on evolve in 2024? Thank you.
Benoît Coquart: Yes. So data center, we already said it plus 15% like-for-like growth. Energy transition and digital lifestyle as a whole are quite resilient but impacted by the building market dynamic, so quite flattish actually. Bear in mind that we are very much for those businesses exposed to Europe. And of course, the building market in Europe were not supportive at all in 2024. And for Essential Infrastructure, it’s slightly down like-for-like, low single digit. And the result of all that is a plus 1% like-for-like growth we had last year. Now, in terms of percentage of our sales, it hasn’t moved – well, it’s not only the result of like-for-like growth, but it is a result of acquisitions, FX and so on. It hasn’t moved a lot. Energy and digital transition products represent last year, 47% of our sales and essentials, 53% of our sales, so close to half and half.
Operator: Thank you. We will now take the next question. And your next question comes from the line of Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Yes. Thank you. Good morning. It’s Martin from Citi. Just coming back to tariffs, as you say, it’s still uncertain. We don’t really know where they might end up being applied. But in terms of your sourcing into the U.S., has that changed at all? I know you and the industry do obviously source from China. Has there been any change in that in anticipation of tariffs, or are you waiting to see what happened and effectively rely on your past actions, which has meant pricing has offset it? Just to understand how you are thinking about protecting from tariffs into 2025. Thank you.
Benoît Coquart: So, maybe starting with the numbers, you know that 45% to 50% of our COGS are imported in the U.S. against 50% to 55% coming from the U.S. If we look at – if we zoom on those 45% to 50%, we have 15% to 20% coming from China. We have about 20% coming from Mexico, and we have the rest, i.e., about 10% coming from all over the world, almost Canada, a bit of Europe, a bit of Vietnam and so on and so forth. So, this is the split of our U.S. COGS. As far as the tariff impact is concerned, well, if you can do the math yourself, but on the Chinese exposure, it means that the 10% tariff which were enacted and which are supposed to be in place at least for the full of 2025 represent an additional cost of $30 million. As far as Mexico, Canada and the rest of the world, but today, there is no tariff enacted. If the 25% on Mexico that was pushed by one month, was to be implemented in March, it would represent an additional cost of about $90 million in 2025. And if 10% tariff was enacted on all the rest, it would represent an additional cost of 20%. So, to make a long story short, we have today, the audit tariff, which is implemented is an additional cost of $30 million. And this $30 million could become $120 million, $140 million if tariffs were implemented on 25% Mexico, 25% Canada, 10% for the rest. Now, it’s of course not the base case scenario today that those tariffs would be implemented this way. Given the inflation rate in the U.S., specialists consider that it would have such an inflationary impact that it’s not the most likely scenario that those tariffs being implemented. If they were to be implemented, well, we would do – as we usually do that to all, so we would try to build extra inventory at distributors level. We would do additional pricing actions. We would do additional cost cutting. We will try to move a bit of sourcing from the highest tariff zone to the lowest tariff zone. So, we would manage that in such a way that it would limit the impact it would have on our P&L. Today guidance includes the 10% tariff on China. Again, if there was to be a lot more tariff on Mexico and so on, it could potentially have a slight positive impact on our top line because we would do more pricing. It could potentially have a slight negative impact on our profitability, a few tens of bps because it would take a few months before we implement price increase, but it wouldn’t be a game changer. And I really want to insist on that. This is not a long-term structural threat for Legrand. This is a short-term adaptation that we will have to make, as we did back in 2018. But we spend a lot more time and our U.S. colleagues spend a lot more time trying to figure out how to seize opportunities in data centers, how to make more acquisitions, how to make successful product launches. We don’t see tariff as a big threat. It is just a hurdle, if I may say, fast-moving, often moving topic that we have to manage.
Martin Wilkie: Helpful color. I appreciate that. Thank you. Can I just ask a second question on data center, obviously a lot of debate over the last few weeks on DeepSeek and energy efficiency and these kind of things. And obviously, it’s too early to really tell what might happen. But if we do see the spending in data center going more towards the applications in AI as opposed to training and therefore perhaps a change in the mix of where the data center investment goes, is that a better opportunity for Legrand in terms of the products that you sell and the customers that you sell into?
Benoît Coquart: Well, actually, that might surprise you but we see DeepSeek as a very interesting opportunity for us. What does it mean, it means that on top of large language models and you still need to have large language models from which all those application-driven models could learn. If you have a large number of open source application type of models being developed, it means that you will have an increasing need for data in order to run and to make those models up and running. So, in other words, you will need more data centers, not less data centers in order to store and to process those data. So, the more – the higher the penetration rate of AI and application-driven AI could be a game changer in order to make AI more popular. The higher the penetration rate, the more data centers you will have. So, we don’t see that at all as a threat for data center, but rather as an additional opportunity on top of large language models. And again, our offer is perfectly compatible for 500-megawatt data centers. It’s also perfectly compatible for smaller edge closer to the point-of-use data centers. So, we are on both sides of the business. So, whether it’s a high-density data center, 100 kilowatt per rack or lower data center, low latency close to the point-of-use data center, we have business opportunities for the two types of businesses.
Operator: Thank you. We will now go to the next question. One moment please. And the next question comes from the line of Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Yes. Good morning. Thanks for taking the question. I wondered if we could just dig a little bit into margin guidance. There is obviously quite a lot of confusion around the Q3 results and then the strength of Q4 partly pronounced, especially in Europe, where you saw margins expand 100 bps to 24% again. So, I wondered if you could just give us a sense of how we can better understand how this cadence goes through 2025 and whether or not that expansion in Europe is something that we need to think about in 2025 as being a big tailwind because I think that was probably the biggest surprise, notwithstanding the North American data center driven growth. Thank you.
Benoît Coquart: As far as the guidance is concerned, so we are guiding after acquisitions. We try to give you as much granularity as we can. The fact is that given the 4% carryover, so we have a large carryover. So, we have a better visibility on the dilution coming from acquisition than when we have a large number of acquisitions coming, but we don’t know yet which one is going to be closed. So, that’s why we are guiding after acquisitions, so at – overall stable, which is by the way, slightly above 2025, 2030 ambitions model of around 20%. And you will note that it would be the fourth year in a row that we will have an adjusted operating margin above 20%, which would be quite a good news, so again, a bit of pricing, not a lot, less than 1%. By the way, pricing was 0.3% in 2024. So, you see that we are very reasonable in terms of pricing, again, because we have done a lot of pricing in the years – in previous years. As far as inflation on raw mat and components is concerned, it’s always very difficult to predict. We believe it could be slightly positive, notably because of the USD impact. But of course, you have a lot of moving pieces, oil price, U.S. dollar trend and so on and so forth. In terms of salary increase, wage increase, it was between 4% and 5% in 2024, could be approximately 4%, give or take, in 2025. Still quite a heavy level of restructuring, again, because we feel that we should keep working on improving our margin and fine-tuning our profitability in the years to come. So, if you put – and a bit of volume growth. So, if you put all that into the machine, it leads to this margin, which is overall stable. Now, we are not guiding per region. It would be quite complicated, not only because the economy may differ from one country, from one region to another, but also because the restructuring could have a significant impact on a given quarter, on a given zone. So, we are only guiding, let’s say, at group level.
Alexander Virgo: Thank you.
Operator: Thank you. We will now go to the next question. And the next question comes from the line of Andre Kukhnin from UBS. Please go ahead.
Andre Kukhnin: Yes. Good morning. Thank you very much for taking my questions. And I wanted to ask about the acquisition pipeline and how the pricing on those deals is looking at the moment versus the prices that you paid in 2024 and maybe putting that also into a broader historical content – context. Sorry.
Benoît Coquart: Okay. So, in 2024, we paid on average a multiple of 3.2x sales, which is probably slightly higher than the average multiples we have paid, but it is also a fact that the dilution coming from – I mean the profitability of the company we acquired in 2024 was an average higher than the profitability of the company we usually buy. And this is the reason why we expect very little dilution coming from acquisitions in 2025. So, on average, we paid 3.2x sales. As far as multiples of EBIT are concerned, we don’t disclose individual multiples, but I can confirm strongly that we are paying multiples on average, which are significantly below Legrand multiples, number one. And number two, I can also confirm that the usual criteria of Legrand, i.e., EPS accretion from year one of full consolidation and EVA accretion. I mean accretion in EVA, so ROCE higher than the WACC within 3 years to 5 years of full consolidation were fully met in 2024, so nothing special in terms of multiples, if I may say. Now, in terms of pipeline, the pipeline remains extremely active. We have a lot of discussions going on. Not sure we will make nine deals this year or eight deals this year as last year, but we will close some transactions. And the discussions we have are for deals on data centers, but also on other topics. And they are on deals on the main continents and the multiples are not higher than the traditional multiples we are used to pay. So, to make a long story short, we remain extremely active. I am very optimistic that we will do more deals and the financial terms of those transactions will remain reasonable as usual.
Andre Kukhnin: A follow-up, if I may, more on the Q4 margin performance. Could you just confirm that this is entirely operational? There was nothing of one-off nature there, or even if it’s a one-off kind of operational nature, maybe closing out of particularly profitable projects or anything like that so that we can really take that as a step-up in underlying performance going forward?
Franck Lemery: Yes. I will take this question. I can totally confirm that when you look at the margin, there is no specifics. And what – just for you to understand that, I suggest that you would look at the Slide 25 – sorry, 55 and 63, where you would see the adjusted EBIT margin per region, excluding other operating items. And then you would see that it’s – that Q4 is pretty consistent with the full year and that the full year is pretty consistent with the average of the last 3 years. So, to sum up what is happening in Q4 can be specific order items and specially restructuring which we manage at the [indiscernible] on a full year basis.
Operator: Thank you. We will now take the next question. And your next question comes from the line of James Moore from Redburn Atlantic. Please go ahead.
James Moore: Good morning everyone and thanks for squeezing me in. I missed the very start, Benoît. I don’t know if you gave the U.S. and European growth in the fourth quarter for resi, non-resi and data centers at a regional level. If you didn’t and you could, that would be great. That’s my first question. Maybe I will come back on the other one.
Benoît Coquart: We cannot give you this level of granularity specifically on a given quarter and by vertical. I mean in terms of the broad comment I made is, of course that the growth was very strong in data center in all geographies. Well, by the way, you have to bear in mind that data center represent a third of the U.S., but it’s less than 10% of Europe and less than 10% of the rest of the world. So, whenever you have data center growing either 15% on a yearly basis or 30% on a quarterly basis, of course, it has a lot more impact in North America than it has in Europe and in the rest of the world. But we don’t have this kind of granularity by sub-segment by quarter. Bear in mind that, for example, most of our products are going both to resi and non-resi and are the same. I mean when you sell a light switch or a circuit breaker or a box, it can end up in a hospital, it can end up in a commercial office or it can end up in a residential building. So, we try to give you granularity on a yearly basis, but doing that on a quarterly basis is extremely complicated.
James Moore: Energy was flattish in ‘24. I was a bit surprised by that in the sense that unlike the essential infrastructure business, which is perhaps more wiring devices, cable management, audio-visual, I would have thought with that being more exposed to things like circuit breakers, industrial UPS, etcetera, that, that would be more linked to, say, electrification and secular themes where we have been seeing perhaps some sort of high-single digit growth rates in other more electrification-oriented low-voltage businesses and you yourself were growing sort of high-single for a number of years. You mentioned the European piece, but is there anything about electrification secular strength versus underlying that jumps out to you on that energy-related business?
Benoît Coquart: Well, half of the energy transition sales we do are made in Europe, first. So, this business suffered from the overall building situation in Europe. And we are a lot less exposed to North and Central America. Less than 20% of the sales we do in energy transition are made in North and Central America, so number one. Number two, bear in mind that EV charging stations are part of this energy transition piece. The circuit breaker piece went okay. The EV charging station market was down very significantly in Europe and elsewhere. And it’s not Legrand specific, but there was a sort of pause in the equipment in EVCS, which we believe is not sustainable. We are still strongly convinced that the EVCS market will grow at a significant pace just because there are many countries where we don’t have enough charging stations to accommodate the growth in electric vehicle. But for whatever reason, in 2024, there was a pause. So, if you put together the fact that we are largely overexposed to Europe, underexposed to the U.S. And number two, the fact that EVCS is part of this family, you have the reason why the business is pretty flattish. And I would say, similarly for digital lifestyle. Close to 90% of the sales we made in digital lifestyle are made in Europe. So, you have two pieces in digital lifestyle. You have connected care and connected health, which is growing very nicely, close to double digit. And you have the traditional smart home business, which is down. And again, this is coming from the fact that the residential European market is down quite significantly. So, all of that explains why those two families are pretty flattish and not growing as much as we want them to grow mid-term.
Operator: Thank you. We will now take the next question. And the next question comes from the line of Eric Lemarié from CIC Market Solutions. Please go ahead.
Eric Lemarié: Yes. Good morning. I have got one question and one follow-up. Do you think your exposure to building renovation compared to new build has changed in 2024? And maybe that could explain your relative resilience in Europe in your view?
Benoît Coquart: No, this kind of metrics doesn’t change significantly from 1 year to another. So, we remain still more exposed to renovation than to new in Europe, and it hasn’t changed significantly from ‘23 to ‘24. No, the resilience that we have is coming from the fact that – well, we have 10% of our sales exposed to data centers. And again, if you look at a country like Germany, for example, it’s interesting. The building market in Germany is really down very, very significantly, but our sales are quite okay because we have been able to grab some nice businesses in data centers. We also – beyond data centers, we also have a few businesses that are growing in Europe, such as, for example, the connected care and connected health. And in terms of market share, we are holding nicely. Country-by-country, we made a detailed analysis country-by-country in Europe. And I can confirm that on the traditional building market, our market shares are held firmly and even increasing in a number of countries, name Italy, name Spain and a few others. So, all of that explains our resistance in Europe where indeed the markets are not very supportive.
Eric Lemarié: And just one follow-up on operating margin, so your guidance is basically around 20.5% in 2025. And it looks to me, this level of 20.5% looks to me like a new normal. And I would like to understand or just to understand if maybe you should now maybe upgrade a bit your capital market, the long-term guidance on profitability?
Benoît Coquart: Well, you are very demanding. We made a Capital Day four months ago, and we shot this 20% mid-term guidance. It was an average. We always said that it could be higher than that in a given year. And actually, indeed, it has been higher for 4 years in a row now. We are, of course sticking to our mid-term target of – mid-term guidance of 20%. Bear in mind that not every year, we will have acquisitions with almost no dilution. The traditional, let’s say, metrics is that when you add one point of scope, you usually have 10 bps of dilution coming from the fact that the acquired companies have – are less profitable than the historical perimeter. In 2025, this dilution will be extremely small because, again, the companies we bought in 2024 are nicely profitable, but it won’t be always the case. There are a lot more candidates in our pipeline with margins at about 12%, 13%, 14%, done candidates with margin at 20% or 21%. So, it’s more likely that in ‘26, ‘27, ‘28 and so on, you will have again the 30 bps, 40bps, 50 bps dilution rather than zero, minus 10 bps or minus 20 bps. So, to make a long story short, we are not changing our guidance. And the average of 20% remains the target. Now, if we are able to grow every single year, our top line by 6% to 10%, if we are able to have 20% EBIT margin, if we are able to have 13% to 15% free cash flow to sales, if we are able to have a payout of 50%, I think it will be a nice story for our customers, from our investors, from our staff from now to 2030. So, I believe those ambitions remain good ambitions to have.
Operator: Thank you. We will now take our final question for today. And the final question comes from the line of Jonathan Day from HSBC. Please go ahead.
Jonathan Day: Hi. Good morning. Thanks for taking my questions. I have got a couple. I was wondering on data centers. You mentioned that you have to fight quite hard to win some of the projects. And I was just talking – I am wondering if you could talk a bit about the competitive environment in that market and maybe sort of shed any light on pricing. And then my second question was if you could just talk a little bit about some of the trends you are seeing in the rest of world areas, in particular, South America and Middle East, where growth seems to have been quite strong. Thanks.
Franck Lemery: Yes. The competitive Benoît mentioned data centers is as tough as elsewhere. And surprisingly, for you, not for us, it is made of the same type of competitors as the building. So, you have big guys, the names you know well, you have the ABB, the Vertiv, the Schneider, the Eaton, the Siemens, all those guys. And on top of that, you have tens and tens, if not hundreds, of small players that are able to supply customized product with a very good level of service and which are also working with the big guy. So, they are also working with the Google, the AWS, the Microsoft. And so this is a typical competitive landscape, quite close to the one we have in the building industry. And it’s competitive as for the building industry. So, it’s not more competitive nor actually less competitive. Interestingly, the small companies – the small competitors are, of course, also natural acquisition targets. And this is the reason why we are able to do every year three, four, five deals in data centers. So, nothing very specific, nothing specific neither in terms of pricing. The specificity, if I may say, is the fact that – of at least 2024 is the fact that we have decided to keep quite a high level of inventory in order to serve those data center customers. If you look at the level of inventory to sales of Legrand, we told you that we would try to come back to historical level after the peak of the last 2 years. A historical level is about 13% to 14% of sales, and we went as high as 19%. And last year – end of last year, it was about 15%, so it wasn’t back to the historical level. The reason being that we have decided or we decided last year that we would preserve our level of service to our customers at the expense of inventory, so I don’t believe it is a long-term trend, but short-term, our priority is to serve those customers rather than to cut off inventory. But otherwise, in terms of competitive intensity, type of competitors we are facing, pricing, it’s the same environment or the same landscape that we have elsewhere.
Benoît Coquart: Rest of the world, sorry, rest of the world, what it’s, so it’s mix bag as usual, Latin America indeed was a pretty good surprise. We didn’t expect that they may get to do well as well as it did, so it’s positive surprise, and we don’t see a reason why it shouldn’t continue in 2025. And here again, we had good data center projects here and there, which helped our business. We have strong positions almost all across the region. We are strong in Brazil, strong in Chile, in Peru, in Colombia. The only country where we are weak is Argentina, but it’s not a big deal for us. So, we have strong positions all across the zone. Then as far as the rest of the world is concerned, well, China was strongly negative. And frankly speaking, it should remain negative in 2025. We don’t see in the residential project, why the situation should improve. Well, now it’s a limited part of our sales. And then Middle East was up, Africa was up, India was up. And those reasons, we should continue to grow. So, except – let’s say, except China, the rest of the world did pretty okay. But China, unfortunately, it’s only what, 2% or 3% of our sales, but it’s about 20% of the rest of the world. So, when China is done quite a lot, it has some impact on the rest of the world zone.
Operator: Thank you. I will now hand the call back to Benoît for closing remarks.
Benoît Coquart: Well, thanks a lot for attending this call. The IR team, Ronan, Franck and myself are at your disposal for further information. And as early as tomorrow morning, we will start road showing for the next two weeks or three weeks. So, I hope we will have the opportunity to meet and discuss face-to-face. Thanks a lot for your time.